Operator: Good day, and welcome to the Capstead Mortgage Corporation Fourth Quarter 2018 Earnings Conference Call. Today's conference is being recorded. After today's presentation there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Ms. Lindsey Crabbe. Please go ahead, ma'am.
Lindsey Crabbe: Good morning. Thank you for attending Capstead's fourth quarter earnings conference call. The fourth quarter earnings release was issued yesterday, January 30, 2019, and is posted on our website at www.capstead.com under the Investor Relations tab. The link to this webcast is also in the Investor Relations section of our website. An archive of this webcast and a replay of this call will be available through April 24, 2019. Details for the replay are included in yesterday's release. With me today are Phil Reinsch, President and Chief Executive Officer; Robert Spears, Executive Vice President and Chief Investment Officer; and Lance Phillips, Senior Vice President and Chief Financial Officer. Before we get started, I wanted to remind you that some of today's comments could be considered forward-looking statements pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995 and are based on certain assumptions and expectations of management. For a detailed list of all the risk factors associated with our business, please refer to our filings with the SEC, which are available on our website. The information contained in this call is current only as of the date of this call, January 31, 2019. The Company assumes no obligation to update any statements, including any forward-looking statements made during this call. With that, I'll turn it over to Phil.
Phillip Reinsch: Thank you, Lindsey. After a few brief remarks, Lance will give a quick recap of the quarter, and then we'll open the call up to questions. This past quarter, and all of 2018 for that matter, was challenging on number of fronts for companies like Capstead that invested in levered portfolios of residential mortgage assets. With ARM pre - mortgage prepayment speeds down somewhat from speeds reported in 2017. They still remain a concern for us, given that longer-term interest rates have receded from recent highs seen in October and November. And with 5 - 25 basis points hikes in Fed funds rates since December 2017, our financing spreads contracted in 2018 due to higher borrowing cost, even as coupon interest rates on mortgages underling our currently resetting ARM securities continue to increase. In this environment, our stock price has not fared well, has been particularly weak the last six months. In response, we redeployed a portion of our capital made available from portfolio runoff in the stock buybacks, generating $0.29 per share in book value accretion for the year. We believe that effectively buying into our existing portfolio; roughly $0.77 on the dollar has made good sense, and illustrates our commitment to increasing stockholder value. Future buyback decisions will hinge on market conditions, including consideration of improved return profiles on new acquisitions being realized thus far in 2019. And now, that the Federal Reserve is signaling that they may be on the sidelines for a while, we have an opportunity to play catch up in 2019 in terms of further increases in cash yields through both coupon resets and new acquisitions. This natural resetting of yields is at the core of our strategy of investing in agency guaranteed ARM securities. Because ARM loans can reset the market rates and agency MBS carry a little or no credit risk, our book value is relatively resilient in the face of changing interest rates or deteriorating housing credit conditions brought on by our weakening economy. The benefits of this are best seen by looking beyond our current earnings and dividend yields and focusing on total economic returns, changes in book value as well as dividends. This way, the risk of loss to capital due to interest rate and credit risk is fully considered. Considered that during a very difficult fourth quarter, we had a modest 0.9% decline in book value and an economic return of a nearly flat minus 0.1%, and for all of 2018, our economic return was a minus 3.6%. While not indicative of what we expect to earn over the course of the interest rate cycle, we are confident our fourth quarter performance will have exceeded that of all but a few residential mortgage REITs. And for the full-year, we expect our economic return will be better and several of the credit-focused residential mortgage REITs even as credit conditions have remained benign in a growing economy, and better than all or nearly all, agency-focused residential mortgage REITs. I'll close with the sentiment I expressed in our press release that we believe Capstead represents a recently compelling opportunity for investors seeking risk-adjusted levered returns with a comparably higher degree of safety from interest rate and credit risk. With that, I'll turn the call over to Lance.
Lance Phillips: Thank you, Phil. We generated earnings of $9 million this quarter or $0.05 per diluted common share and paid an $0.08 common dividend. Our cash yields on our portfolio improved 14 basis points, contributed an increase of approximately $0.05 per share over the third quarter. A largely seasonal decline in mortgage prepayments added 12 basis points to yields through reduced premium amortization compared to our last quarter, contributing an additional $0.04 to our earnings. Unfortunately, 25 basis points and higher borrowing rates, primarily due to Federal Reserve rate hikes reduced earnings by approximately $0.08 per share and largely offset our higher yields. Book value declined $0.09 per share during the fourth quarter, ending the year at $9.39 per common share, which was largely offset by the $0.08 common dividend introducing in the basically flat economic return Phil discussed earlier. Breaking down our book value decline for the quarter, lower swap gains of $0.37 and dividends in excess of earnings were $0.03, while higher portfolio values added $0.17 and common stock repurchases during the fourth quarter added $0.14. Year-to-date, we earned $0.34 per diluted common share distributed $0.49 in common dividends and have incurred book value declines of $0.86 per common share. The details of which are in the press release. With that, we will open the call up to questions.
Operator: [Operator Instructions] And we'll go first to Eric Hagen with KBW.
Eric Hagen: Okay. Thanks. Good morning. First on the hedging. It looks like you guys have a wall of maturities that are approaching over the next few quarters. So how should we think about the trade-off between hedging your duration gap with the leverage in the portfolio against the backdrop of what's likely to be a more dovish Fed policy and just a lower likelihood of your repo repricing higher in the future? Thanks.
Phillip Reinsch: Sure, Eric. If you look at what we did in the second half of last year, we let our duration gap run longer. I think, on 9/30, we reported duration gap just under six months. We actually let it get longer than that. So we don't just replace swaps as they roll off. We didn't put any swap rates on until the market started roving in December. And so I think, we put on swaps that had roughly a $2.84, three-year swap rate, but it gets as high as $3.20 in October. So we got longer during the second half of the year. That helped to contribute to our book value not declining as much because we essentially didn't hedge some purchases in the second half of the year. So once again, that worked up pretty well for us. Since then, right now, for instance, three-year swaps are around $2.60, so we could synthetically fund the book cheaper via the swap market than we're paying on swap repo, which is closer to $2.65. So we are looking at that, and there is a chance that we will decrease our duration gap even more just because of the funding dynamic of what we can swap out our funding cost right now. So we don't just replace swaps as they runoff, we look at where rates are at a given point in time, and if it makes sense, we'll lengthen or shorten our duration gap. At this point, with the rally and the Fed basically, the forward markets are pricing in, if that ease, we will probably take advantage of that and layer more swaps than at these levels. But at the same time, our spreads widened in the fourth quarter not to the degree of fixed rate, but they are very compelling from a reinvestment standpoint right now. So between those two things, what we're doing in the first quarter will probably look materially different than what we did in the fourth quarter.
Eric Hagen: Great. As a follow-up to that, can you just provide the unlevered yield on new purchases in the quarter? And just kind of where you stand with…
Phillip Reinsch: Right now we're looking at our returns on a hedge basis of around 11% given our leverage, which is as compelling as they've been in a long time.
Eric Hagen: Okay. Great, thanks. My next question is just kind of around liquidity in the agency ARM market more generally. You know the share buybacks were obviously very nice to see. I mean, they were strong support for book value in the quarter, but presumably you guys would like to regrow the portfolio again if the investment opportunities became more attractive in the market allowed you to do that. I guess, one concern to doing that would just be the weaker liquidity in the agency ARM market. I mean, it continues to pay down pretty rapidly. So maybe you can just share your thoughts on how you manage the leverage in the portfolio and your expectations for what Capstead looks like in the future just by staying invested in this market? Thanks.
Phillip Reinsch: I mean, if you're talking about supply, supply is down, but there is ample liquidity in the agency ARM market. I wouldn't use the term that there is a lack of liquidity in the ARM market. I mean their supply was down in the fourth quarter around $3 billion, but you always have secondary selling, you've got outstanding MBS issuance of around just under $150 billion. But there is also a lot more ARM product in bank portfolios that could potentially come out. So yes, supply is low, but liquidity, there is not a lack of liquidity in the ARM market.
Eric Hagen: Okay.
Phillip Reinsch: And we have not had a problem replacing runoff when we chose to do so at compelling returns.
Eric Hagen: Okay. Thanks for the questions or the answers. Thanks.
Operator: [Operator Instructions] We'll go next to Steve DeLaney with JMP Securities.
Steven DeLaney: Good morning, everyone. Echo Eric's comment, we applaud the buyback activity and congrats on your industry best book value performance in the quarter in a challenging market. Want to ask about the buyback, we noted at the end of the third quarter that there was $55 million authorized and with what you did in this quarter, it looks like it would have been down to about $11 million or $12 million at the end of the year. Now your stock today is $7.25, so lower than the $7.47 average, should we assume that the Board is looking at that authorization and likely to increase that if the stock stays down at this level?
Phillip Reinsch: Yes. The Board can increase the authorization at any time. So there is about $12 million left on the original authorization. But I wouldn't be too concerned about that. We are going to be disciplined though with better return profile on new acquisitions that…
Steven DeLaney: Understood.
Phillip Reinsch: Used for that capital, so.
Steven DeLaney: So it doesn't sound like there's any - there's no targeted level, you're just going to take - Roberts going to take the pulse of the ARM market and what's available, the returns on investment and you're going to balance that out sort of on the run basis, that's pretty much what I'm hearing.
Robert Spears: Absolutely.
Steven DeLaney: Okay.
Robert Spears: And there are some pretty significant earnings blackout periods in that part.
Steven DeLaney: Understood.
Robert Spears: Where you can see where you're going with earnings pretty easily.
Steven DeLaney: Yes. Robert you mentioned the spot rate. And frankly, I was hoping that we were a little bit lower than that $2.65, it seems like we've got one-month LIBOR just settled at $2.50 Fed funds just under $2.40, and based on yesterday's comments, and I think it all pretty much decided, but might just be flat on Fed funds for this year. Do you think - is there any like continued pressure on repo or do you think 15 basis points over one-month LIBOR is sort of where repo will settle over most of this year?
Robert Spears: Actually, Steve, we're seeing a drift down a little bit already. I mean we're seeing now kind of 2.63% areas, but…
Steven DeLaney: Okay.
Robert Spears: I would think a lot of technical factors at the end of the year - end of year that kind of - into the first quarter. and I think you'll see some of that - because for instance, the last couple of years, for the most part, if you use one-month LIBOR as a proxy, we've been recalling like LIBOR plus and [indiscernible]. And so all things being equal if you would have projected this - six months ago, you would have expected of the repo of around 2.55% right now. So I would think given what the Fed's doing and they're talk about their balance sheet activity, potentially buying stuff at the shorter end of the curve and keeping reserves in the system, I would think repo rate should address that.
Steven DeLaney: Okay. And I'm just looking at your spread, you were 2.07% on your hedge cost of funds, and I know you've got some swaps, but it almost feels like we can now sort of see what a cap maybe - might be nine to 12 months out as repo rolls up, because the 2.07% obviously doesn't reflect the December - doesn't reflect much of the December hike. But it would seem like we now sort of have a cap, do we not? An assuming the Fed is on hold, it seems like we kind of have a - there's not that much more pressure to see on your cost of funds over the next, say, three to six months?
Robert R. Spears: That's fair. I mean and once again, if you look at where two to three-year swaps are and if you take the resi and into account, you could synthetically repo cheaper than spot rate. So yes, I mean I think repo - and it's kind of going to be a good proxy for our funding costs over the next several months as far as for Fed increases.
Steven DeLaney: And so the flip side of that - and this is my last question, I am sorry to ramble on here. But now that we can - for the first time in a couple of years, we can look at funds and borrowing costs and say - okay, we can see these settling in 2.50%, 2.60% whatever. Now my intention turns to your short book and your WAC and you're fully indexed WAC. And I'm looking in your press release. You give us this data every quarter, which is greatly appreciated, but 3.80% current net WAC and a fully indexed WAC of 4.50%. So that's 70 basis points if I'm reading that that's getting premium amortization now, but just in terms of cash yield that 70 basis points of potentially higher cash returns. And obviously those resets are inside of a year, as I understand it based on how you describe your 52%. Can you just, focusing on that 70 basis point of potential upside, give us a feel for how that's likely to come through into the portfolio over the next two to three quarters?
Robert Spears: Sure. I think if you just try to interpolate and assume the 12 of it resets every month of that short book. And then that longer resets will not go up in coupon other than through repurchases, you should get an extra 10 to 12 basis points in coupon per quarter. And as they've just - obviously you said our book has a lot of upside on coupon side. And then you look at where the next part of I think where you were bond on prepays where our ARMs is fully indexed. One thing right now in aggregate our Fannie, Freddie book fully indexed you'd be looking at like I call it 5 and 8 coupon. Our Ginnie is four and three-quarters. So let's just call it 5% fully indexed versus a no-cost rebuy of around four and three-quarters it was more seven, eight for this rally. So if some incentive, there but conversely, it's not any more incentives than they had last year and what we saw actually our speeds went down last year from 2017 with a flatter curve at higher rates. And so you start to see some burn out. And then also what we experienced in last time cycle, which was so long-time obviously, but once the Fed stops moving and have that headline risk about rates going up, a lot of these ARM borrowers loans refinance into a fixed rate at sustained level because they're not getting the notification that their payments going up again. And they may start thinking that rates are going to come down. So if you start to see even with the flatter curve, once the indexes stop going up, you don't have as much prepayment noise and you starting to get some burnout. I mean again like, so one-year LIBOR hit 3.15% in October, it's 2.97% now and a similar decline in one-year CMB fee that you could conceivably see some guys that reset up last fall. The next time they would be coming down…
Steven DeLaney: Could be come back - coming down, yes.
Robert Spears: They were flattening for some time, so.
Steven DeLaney: Yes.
Robert Spears: So the big jumps in the portfolio are out right now, and so we are more positive on prepaid this year than we would have been last year.
Steven DeLaney: Okay. Really appreciate the comments, guys. Thank you.
Operator: [Operator Instructions] With no further questions in queue, I'd like to turn it back to you Ms. Crabbe for additional or closing remarks.
Lindsey Crabbe: Thanks again for joining us today. If you have further questions, please give us a call. We look forward to speaking with you next quarter.
Operator: Ladies and gentlemen, this does conclude today's conference. We thank you for your participation. You may now disconnect.